Operator: Good morning, and welcome to Wiley's Third Quarter Fiscal 2018 Earnings Call. As a reminder, this conference is being recorded. At this time, I'd like to introduce Wiley's Vice President of Investor Relations, Brian Campbell. Please go ahead, sir.
Brian Campbell: Good morning, everyone, and welcome to our third quarter fiscal 2018 earnings review. Some housekeeping items to start. The call is being recorded and may include forward-looking statements. You shouldn't rely on these statements as actual results may differ materially and are subject to factors discussed in SEC filings. The company does not undertake any obligations to update or revise forward-looking statements to reflect subsequent events or circumstances. Also note, Wiley provides non-GAAP measures as a means to evaluate underlying operating profitability and performance trends. Non-GAAP metrics, which generally exclude items that impact comparability, comprise the following, adjusted EPS, free cash flow less product development spending, adjusted operating income and margin, adjusted contribution or profit, and results on a constant currency basis. These performance measures do not have standardized meanings described by U.S. GAAP and therefore may not be comparable to the calculation of similar measures used by other companies. They should not be used as alternatives to measures under GAAP. Also note, we abbreviate constant currency as CC. Please see the reconciliation and exclamations -- explanations of all non-GAAP financial measures presented in the supplementary information, including our press release. [Operator Instructions]. After the call, a copy of the presentation and a playback of the webcast will be available on our Investor Relations page. I'll turn the call over to Brian Napack, Wiley's President and CEO.
Brian Napack: Thanks, Brian, and good morning, everyone. Also, with us today is John Kritzmacher, our CFO and EVP of Technology and Operations. As you may recall, I started at Wiley just two days before our last earnings call. For this reason, I want to start off today's call by sharing just a few impressions from my first 90 days. In short, my first three months have been just terrific. Over the past few months, I've met with a great many of our Wiley colleagues around the world and have traveled to a variety of our global offices, where I've done numerous town halls, group meetings and many, many one-on-ones. I've also engaged directly with a wide range of our most important customers, partners and investors. I've listened intently, they asked a lot of questions and learned a tremendous amount. The upshot of all this is that I'm very pleased with what I found. I'm impressed with our people, with the team I've inherited, with the quality of our business assets, and with the opportunity that is resident in our markets and, critically, with the positive relationship that Wiley has with these important markets. These things comprise a great foundation for future success. Within the company, I found an impressive depth of strategic thinking about the future of our markets and about Wiley's role in them. At the same time, there's a breadth of important operational initiatives ongoing across the company that are,, every day, improving the efficiency and effectiveness of the company. I've also found a collaborative committee culture and a team that is eager to learn, to adapt and to innovate. It's clear to me that Wiley has the content, the platforms, the brand equity, the financial strength and the global talent to do great things. And all of this makes me optimistic about the future. We've now embarked on my first strategic planning cycle, given all the great strategic thinking going on, the keys for the leadership team will be to focus, to prioritize and to execute. There are many good ideas and proposed initiatives in front of us, but of course, we can't do them all. There will be areas where we invest, areas where we will tighten and even areas where we may reconsider. It's too early today to outline our plans in more detail, but I will say that I expect us to be an aggressive and competitive participant in our core markets, and that we will build our plans based upon a deep understanding for our customers' needs and walk lockstep with our partners. Internally, we will be obsessive about continuous improvement, making tough decisions and executing with excellence. When appropriate, we'll provide you with a clear line of sight into our strategic, operational and financial objectives. For now, let's move on to our performance. The key takeaways from the quarter are that we continue to track well to fiscal year guidance, with year-to-date revenue, adjusted operating income and adjusted EPS of 1%, 3% and 1%, respectively, in constant currency. Our EPS results on a U.S. GAAP basis for both the quarter and the year are up significantly due to the current year benefit of U.S. tax reform and favorable foreign exchange impact as well as favorable comparison with prior year regarding settlements and charges. Our operational excellence initiatives continue to result in profitability improvements and efficiency gains throughout the company. As noted, we're making a lot of great progress in this area, which John is spearheading. We're seeing improvements in our systems, our facilities, processes, our workflows, our skill sets, all leading to improvement in both our cost structure and our competitiveness. As noted, GAAP results improved materially this quarter, with revenue operating income and EPS rising 4%, 32% and 45%, respectively. Revenue growth was boosted by favorable foreign exchange. Operating income growth was the result of higher revenue, some favorable timing around restructuring charges and savings from operational excellence and restructuring initiatives. EPS was further augmented by an estimated noncash tax benefit of $25 million or $0.43 a share as a result of U.S. tax reform enacted in December. On a constant currency basis, revenue declined by 1%, adjusted operating income rose 2% and adjusted EPS declined 14%. The adjusted EPS performance was largely due to an unfavorable comparison with prior year, which included $0.12 per share in discrete tax benefits -- tax credits. Nine-month performance was similar, with GAAP results improving considerably and adjusted results tracking well to expectations. GAAP revenue and operating income were up 4% and 15%, mainly due to foreign exchange and favorable timing around restructuring charges and other settlements. GAAP EPS more than doubled to $2.39, including the $0.43 favorable impact from U.S. tax reform. Revenue share on a constant currency basis was up 1% due to 4% growth in Research and 4% in Solutions, offsetting a 4% decline in Publishing. Adjusted operating income growth of 3% was a result of revenue growth and operational excellence and restructuring savings. Adjusted EPS growth of 1%, so operating income growth and lower interest expense partially offset by the prior year $0.12 tax benefit. Before I review the business segments, note that I'll be talking to results on a constant currency basis, unless otherwise noted. First, we'll talk about our Research. Our Research revenue grew -- for the quarter rose 1%. Strong 39% growth in Open Access publishing and 5% growth in licensing, reprints, backfiles and other, offset a 2% decline in Journal Subscriptions. This decline reflects unfavorable timing. We expect full year Journal Subscription revenue to be flat or up slightly. Our Society business continues to show favorable momentum, with calendar year 2018 wins at $14 million, renewals totaling $81 million and losses totaling $3 million, for a positive net win of $11 million. The result will be a modest incremental benefit to Journal Subscriptions in fiscal year 2019. Year-to-date, Journal revenue is up 2% overall on a constant currency basis. We are excited that this month we will be migrating the Wiley online library, our flagship Research product from our legacy platform to Atypon's world-class Literatum platform. You may recall that in fiscal 2017, we acquired Atypon, the leading content delivery platform for the research industry. We are now beginning to accrue the benefit. As previously mentioned, we expect to realize considerable cost synergies and operating efficiencies from the new platform. We also expect to realize significant competitive advantage in terms of winning new Society business and providing value-added services to our existing society partners. In January, I visited Atypon in Santa Clara, where our team is accelerating our technology road map and dreaming up new products for the research community. It's very exciting, and it's a very, very impressive shop. Research's contribution to profit, or CTP, in the quarter rose 13% but declined 2% on an adjusted basis, largely due to higher royalties related to our Society business, which offset the impact of higher revenues. Our Publishing segment continues to perform better than expected, with STM and Professional up 2% due to strength in business books and our Dummies franchise, while educational publishing was down 6%. Customer preference continues to differ among product categories, with print revenue up 7% in STM and Professional but down 13% in Education. Notably, Digital Books are up 29% in Education. Course Workflow or WileyPLUS was lower again due to timing of revenue recognition, which reflected longer sales recognition for core subscriptions extending across two semesters. Significantly, we will be introducing the next generation of our WileyPLUS platform this summer in time for the fall semester. Major improvements include enhanced ease of use, flexibility, customization, mobile access and new features that drive student outcomes. This WileyPLUS next-gen platform will feature state-of-the-art integration across the university ecosystem, which will facilitate both content adoption and user engagement. This release is currently in field trials and is receiving very, very positive feedback. Our Test Preparation and Certification business declined 9% this quarter, but is up 6% year-to-date. Strong growth in the CPA and CFA programs is being partially offset by the softness in ACT program and our India market overall. We remain confident in the growth trajectory of our Test Prep and Certification business. Across Publishing, adjusted contribution of profit was up 16% due to savings from operational excellence initiatives and restructuring. Our Solutions segment continues to improve from a profit perspective, although revenue performance has been more modest. In the quarter, 7% top line growth in Education Services or Online Program Management, offset a 4% decline in Corporate Learning or CrossKnowledge and a 5% decline in professional assessment. The OPM business won three new programs while discontinuing 10, for a net decline of seven. This is occurring as we continue to fine-tune the portfolio by investing in more strategic partnerships while improving profit contribution. The total partner and program count at the end of January was 38 and 247, respectively. We are seeing favorable trends in the fee-for-service opportunity area. Fee-for-service is where universities pay only for the services that they need as opposed to the comprehensive revenue share model. Services delivered include a mix of marketing and recruitment, academic development, retention services and technology support. This is a growing low-capital investment opportunity for us with schools that are not part of our OPM portfolio. In Corporate Learning, our revenue continues to be challenged this year by a slowdown in French government funding for customized university-based blended workforce training programs. Despite this, we continue to see growth and strong renewals in the core CrossKnowledge corporate training business. Our Professional Assessment business was down in the quarter due to continued channel shifts in the pre-hire Assessment business. The post-hire Assessment segment of the business continues to perform well and grow nicely. We're seeing good performance from our key franchises, Everything DISC and Five Behaviors. Adjusted contribution of profit in Solutions was up 67% due to savings from operational excellence initiatives and restructuring. I'll now pass the call over to John, who will take you through our balance sheet, cash flow and outlook.
John Kritzmacher: Thank you, Brian. Let me start out by briefly discussing the estimated impact of U.S. tax reform. First, as noted, we recorded a noncash tax benefit this quarter of $25 million or $0.43 per share. This estimated benefit is due to a reduction in deferred tax liabilities of approximately $40 million, driven by the lower U.S. tax rate, partially offset by deemed repatriation taxes, which were a noncash charge of $15 million. Looking ahead, since most of our pretax income is earned outside the U.S., we anticipate only about 1% drop in our effective tax rate starting in fiscal year 2019 and a modest cash tax benefit beginning in fiscal year 2020. I'll touch very briefly on our balance sheet. Our financial position remains strong and our net debt-to-EBITDA position remains low, providing us with the flexibility and capacity to invest in our business, pursue strategic acquisitions and continue returning cash to shareholders. Cash provided by operations for the first nine months was down $39 million due to the timing of closing calendar year 2018 Journal Subscription renewals. We expect cash provided by operations to swing back in the fourth quarter and be up $35 million or more for the full year to approximately $350 million. Free cash flow, less product development spending, was also down by $39 million. Capital expenditures, which include technology, property, equipment and product development spending, were essentially even with prior year. We did not make any share repurchases in the quarter. Year-to-date, we've spent $29 million to repurchase 551,000 shares at an average cost of $53.12 as compared to $35 million spent in the year-ago period. Through nine months, we utilized a total of $84 million to pay dividends and repurchase shares as compared to $89 million in the prior year. We are again reaffirming our full year outlook. As a reminder, at constant currency, revenue and adjusted operating income are expected to be essentially even, and adjusted EPS to be down by low single digits. While we are tracking slightly favorable to our full year guidance, book markets and some other areas continue to be uncertain. Foreign exchange has had a significant favorable impact to our results so far this year. If current rates were to hold, we expect a full year foreign exchange benefit from rate changes and functional currency gains of approximately $49 million in revenue, $27 million in operating income and $0.34 in EPS. As a reminder, this year's functional currency benefit is specific to U.S. dollar-denominated Journal Subscriptions sold in the U.K. for calendar year 2017. And finally, cash from operations and CapEx are tracking in line with our prior expectations. And now I'll hand the call back to Brian.
Brian Napack: Thanks, John. All in all, we're in good shape going into the fourth quarter. Our strategic planning and development is now well underway. The Wiley online library migration to the Literatum platform is nearly complete. Our next-gen WileyPLUS release is in field trial and receiving very positive feedback. Our operational excellence initiatives will continue to deliver improvements in customer satisfaction while lowering our cost. And personally, I'm extremely pleased to be part of this terrific company and this terrific team and looking forward to the future of Wiley. With that as background, we will welcome your comments and questions.
Operator: [Operator Instructions]. We'll take our first question from Daniel Moore from CJS Securities.
Daniel Moore: I want to start with Online Program Management. Brian, you mentioned the pay-for-service -- or fee-for-service. Is that a trend that you're seeing accelerating in terms of what the potential customer base is looking for? And if so, do you expect the number of programs -- growth in the number of programs and platforms to slow in favor of this? Or is it too early to tell?
Brian Napack: Yes. So it's a very good question. It's a very dynamic market that we play in, in OPM. Universities have an increasingly broad set of needs, and there's a tremendous diversity of how that's playing out amongst the potential customer base. What, I would say, is that we really see two separate trends, both of which are continuing a pace and both of which have lots and lots of white space in front of us. And those trends are one that continue to move to the full service turnkey revenue share models that were the foundation of this business at an earlier time. Solely, it went -- it was only -- the only thing at an earlier time. And now we are seeing a great diversity of clients asking for a specific sets of skills and specific sets of services that we can provide to them on a go-forward basis. I think they both represent really good and very complementary opportunities for us and in the marketplace. I don't think they are mutually exclusive. I think that we will see a blend of the two going forward. So I don't see a material trend from one to the other. What I see is growth in both.
Daniel Moore: Helpful color. Switching over to Publishing. Sort of -- despite declining continues to outperform expectations, do you think we've hit a new plateau where declines might level off a bit? Or is there some kind of unusual things going on this year and just too early to tell?
Brian Napack: Yes. I mean, I think the right answer is certainly too early to tell. It's a very good question. We all want to know what the future of the book business look like, the printed book business. And when we're talking about this, we're -- I'm confining my comments to the educational book business. We all want to know what that future look like -- looks like, and there is a -- most definitely, there is an urge in the marketplace to try to explain it and to try to call the end. The truth is, it's too early for me to tell, and I've been in this business for a very long time. I do think we are seeing some really positive things going on in the marketplace. We're seeing prices, through the various business models available to students and institutions, we're seeing prices normalize at a level that seem to be acceptable. And so therefore, free and low-cost alternatives toward a gold standard content are becoming less attractive. We're also seeing that there is significant durable demand for printed books. I don't know why one would call the death of books when it's such a good product, and certainly, the marketplace seems to like them. I think what we've been seeing over the last year is a market in transition. As soon as we are ready to call the future of that market, we will do so. But right now, we need to be judicious and conservative in our prognostication. And in our business, we need to be very, very adaptable to be able to provide students, teachers and institutions with the products they need, in the formats that they needed them, through the channels they want to buy them, under the business models that they want to purchase them or to acquire them. And that's our job. So yes, too early to tell. But I'm certainly sort of pleased with the future of the market based upon our ability to adapt.
Daniel Moore: Perfect. Lastly and I'll jump out, bigger picture, given the powerful and really stable cash generation leverage quickly dissipating, is there an appropriate leverage or capital structure that you think about for the business? And maybe just remind us your priorities for investment going forward.
John Kritzmacher: So Dan, it's John. I would say that our position around leverage for the company remains unchanged. We've given ourselves quite a bit of a latitude to invest in the future of the business, including acquisitions that will expand our capabilities and our market reach over time. And at the same time, we've allocated capital consistently for returns of cash to shareholders in the form of both repurchases and in the form of dividends. I would say, broadly speaking, we probably think of ourselves as not exceeding investment-grade leverage in the company over time, but certainly, much depends upon the opportunities that are ahead of us as we look for those key opportunities to accelerate growth in our business.
Operator: And we'll take our next question from Allen Klee of Sidoti & Company.
Allen Klee: Can you explain the advantages to your customers of shifting your library to Atypon?
Brian Napack: Sure. We have to define our customers first. And our customers represent a variety of different categories. We have our -- Atypon's customers tend to be its Publishing and Society partners, who are publishers. At the traditional Wiley Research business, we divide our customers into multiple categories, our society partners; our researchers, who are primarily doing research and publishing it, distributing it through platforms like Atypon; and the researchers on the end that are consuming it; as well as librarians, another category. Atypon is a state-of-the-art platform with more features, functionality and durability, meaning longevity, than any other platform in the market. Atypon is the clear market leader, and as such, has the most functionality, the best technology platform and the best ability to add the new features and functions that all of those parties want in order to succeed in their jobs. Because that, of course, is our first job is helping all those parties I mentioned to succeed. So that's the benefit in the marketplace. It's always best -- let me add one coat into that. Content, over time, has become redefined from its traditional definition to a much broader definition that includes content, tools and services surrounding the content and the tools. As that happens, the platform and the content become inextricably linked, and you'll see this across various sectors, but it's most definitely true in the sectors that Wiley plays in, research and learning, et cetera. And so having a flexible, extensible platform and a first-class development team -- I mean, world-class development team in Atypon allows us to be at the leading edge of that or to benefit our researchers, our authors, our societies, our librarians, and our various partners and ourselves as a publisher. Then there are the -- well, your question was market-facing, and so I will leave it there because that answers the question, I believe. Happy to answer a follow-on if I didn't get the extent of your question.
Allen Klee: Okay, great. And then, just your comments on the outlook for the tax rate when you said it would be a 1% benefit in fiscal '19. Am I to understand that that's relative to a current view of 23% to 24%? And should we assume then that also applies to the next quarter?
John Kritzmacher: Allen, to make it perfectly clear, we're anticipating that our go-forward effective tax rate under the tax legislation will be in the range of 23% to 24%. In this quarter, on an adjusted results basis, our effective tax rate was 23.4%, okay? So it's in that similar range, the effective tax rate this quarter. But on average, by comparison to what our effective tax rate would have been prior to the legislation, will be down about 1 percentage point.
Allen Klee: Okay. And then for testing, you mentioned some areas that were down, but I wasn't exactly sure I understood what they were. Could you explain that a little bit?
John Kritzmacher: Principally, we've seen decline in demand around ACT, and we've seen somewhat sluggish demand in our Test Prep in India. So those are the two areas where we've seen some softness in the Test Prep business overall. And then as Brian noted, we also are seeing some great strength in some of the other disciplines around Test Preparation, including CFA, CMA and CPA Test Preparation.
Brian Napack: Yes. I like our position in Test Prep, and I think it has a lot of potential for us going forward on a global basis.
Allen Klee: Okay. And then last question, just in Research, in general, what would be the main arguments for why you think the segment could have a longer-term growth rate higher than kind of flat to 1% or 2%?
Brian Napack: Well, I think the -- there's an underlying fact. And the underlying fact that there's -- I should say, there's some underlying fact that support the long-term growth of that business. And those facts have to do with the fact that we are publishing in the world more and more research every year. Every year, more funding goes into it. Every year, more researchers are working. And every year, more people, whether they be other researchers at academic institutions or in corporations or other places or in government agencies around the world, are consuming that research. As they do, like in every information market, they are requiring more and more tools and services surrounding that research. There are big data implications as the research is throwing off data. All of these extra tools, services, features and functionality make the role of the publisher more important going forward, not less. To be clear, there's lots of moves, positive and negative, that go in this and every other market as we move forward into the future. But that underlying structural demand for the core product, both on the supply side, where research is being created and on the demand side, where it's being consumed, lead us believe that these are good markets to be in going forward. How exactly we quantify that is a different story. But one has to be optimistic, given the nature of these underlying trends in the world.
Operator: And we'll go to David Pang from Stifel next.
David Pang: I was just wondering if -- John, could you provide an update on the overall budgetary environment for academia and government agencies as it relates to the Research business?
John Kritzmacher: In terms of funding around libraries, if you will, if that's what we're referring to, library institutions, government institutions in support of delivering research to their patrons, the budget increases that we've seen over the recent horizon have been on the order of 0.5% to 1%. So positive but relatively modest growth in that funding.
David Pang: Okay. And I guess, shifting gears over to the royalties for the society journals, it looks like it's been -- had some pressure on, I guess, the gross margins in the last couple quarters. Now looking forward, how should we think about the trends with the royalty payments for the Society biz?
John Kritzmacher: David, I think we should anticipate that we will continue to see some level of pressure on royalty rates for our licensed Journal Subscription business. That's been true for some time now, and we see some fluctuation in that pressure from period to period. Over time, generally speaking, we've been fairly effective at offsetting pressure on royalty rates by finding efficiencies elsewhere in our business, and we'll continue to do that. Examples of areas where we are finding efficiencies include, in fact, the migration to the Atypon platform, which has substantial savings associated with it. But we also have fundamental tools that we're improving for the development and curation of our content, including an internal platform that is under construction now for Journals. So we're always working on operational improvements that will provide efficiencies. And we believe that, over time, we'll be able to balance the pressure on royalty rates for licensed journals with savings in other places.
David Pang: Got it. And I guess, last, when thinking about the OPM business, how have the enrollment trends for your core programs, how have they looked relative to just the broader graduate program enrollments?
John Kritzmacher: If you're asking specifically, how are we performing in terms of retention rates? Our retention rates continue to be very high. And in fact, as we've talked in the past, our goals around the online programs is to provide retention rates that are at/or higher than the on-campus experience. And we've been very successful at doing that. So student retention is a really critical part of the service and the value-add that we provide in these online programs. And we continue to perform well. In terms of overall enrollment programs, we're continuing to focus on programs where we can drive increased participation in the programs so we're having some success there. You'll see as, of course, we're continuing to improve the mix of the portfolio of partners we have, we've been relatively flat over recent quarters around the aggregate number of partners while we're continuing to show some slight increases over time in the number of programs. And we're also being successful in getting more students into those programs.
Brian Napack: And then I'd just add to that, that a core skill set that we have and that we -- relates to the opportunities that we pursue, which is that our partners -- our -- the selection of our partners and our pursuit of programs within those partners reflects a specific set of criteria and design to optimize things like the enrollment trends. We're always looking to invest in the areas where there's a very solid brand that we're working with, with a very solid position in the marketplace that has appropriate growth trends. And that we invest within that partner brand in the programs where we believe there is the greatest level of growth relative to overall enrollment trends. Having said that, the nature of our partnerships in some of these areas sometimes dictates that we need to service some program areas that the university wants to service, not necessarily us. But even in those areas, we are very selective, we have a specific set of criteria, and we always ensure that we're going to financially be able to capitalize on the relationship. So the question you're asking speaks to the core skill set on the front-end of the OPM business, which is the targeting and selection of partners and programs in the market that we believe will have the best growth trends.
Operator: And we'll take our next question from Daniel Moore of CJS Securities.
Daniel Moore: One or two quick follow-ups, just in terms of backfiles, reprints, second consecutive quarter of pretty good growth. What's driving that? And traditionally, it's been kind of lumpy year-to-year, so should we think of that as being maybe a little bit of a tougher comp as we think about fiscal '19?
John Kritzmacher: Dan, just a broad base of relatively common demand for reprint and backfiles, but by comparison to prior years, whether you'll recall, we had some pretty lumpy results with some large sales. That business overall has reached, I would say, a relatively stable base. And the transactions that we have there, the sales that we have are, I would say, large in number and relatively small in size. So just steady demand, nothing beyond that in that space.
Daniel Moore: Got it. And then, Brian, you did give pretty good color, but I'll bug you to give even more on WileyPLUS and what -- maybe update us on some of the features and functionalities of the latest version and your confidence around returning to growth in '19 and beyond.
Brian Napack: Yes, yes. I did outline some of the key features of the platform that we're moving toward, beyond -- the first thing to say is, we have built this platform on top of Instructure's campus platform, which is widely recognized. First of all, it's going very rapidly. It's widely recognized as one of the leading platforms, if not the leading platform in the LMS market now, with a major and growing share of the university market. I focus on their share because that's not insignificant. Very significant because when I talk about world-class integrations, integrations are critical to the success of courseware and Course Workflow products, such as WileyPLUS. Because it makes it very easy -- a tight integration makes it very easy to acquire, adopt and use the content, which we provide. So just the fact of having this world-class, leading LMS platform with its features, functions and profile underneath the WileyPLUS platform gives significant benefit. Then on top of that, we have our proprietary content and content tools that we are layering into that, which are the Wiley hallmark. In our core disciplines, we have what we consider the best tools to go on top of that platform. The interface, the integrations and the usability that we're adding to it through this process of development sort of bring it all together. So in terms of -- so I'm very confident in what we're building. Most importantly, what we're seeing in the marketplace is -- in our pilots, is an extremely positive reaction to what we have. And we have live kids in classes with teachers in marquee universities around the country that are using it right now. So we're pretty confident there. Your question about returning those numbers to growth has -- is really a question about how quickly we can roll out the courseware or the courses that the WileyPLUS next-gen platform is supporting in the marketplace. So how many courses can we get online in an acceptable fashion in the months and years to come? We have an aggressive plan to do so. I won't speak to the specific numbers today. And we are looking for every way we can to increase the rollout of those WileyPLUS next-gen-enabled titles. So both the platform and the rollout plan are critical. There is no question that the market is moving in this direction toward these products. It's very clear. You can see it by watching the industry. We have traditionally had an excellent position in this marketplace. That stabilized a little bit over the last year or two. This new platform combined with the world-class content that we're feeding it with will take us back to where we think we need to be. And not to beat a dead horse, but as we think about the movement from the traditional e-book platform to the Course Workflow platform, the benefits to us directly reflect the dramatic benefits to the students, the teachers and the universities using them, which is about outcomes and about usage. And so what we expect is that our business will see significant benefits as we do that. But I think that's a topic that we can dig into at another time.
Operator: And it appears there are no further questions at this time. I would like to turn the call back to Brian Napack for any closing remarks.
Brian Napack: All right. Well, thanks, everybody, for joining us on the call today. We look forward to speaking to you about our fourth quarter and full year performance in June.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.